Operator: Good day Ladies and Gentle man and thank you for joining us for the Genesis Microchip Third Quarter Fiscal year 2006 Earnings Conference.  Today’s call will be recorded.  We ask that you to remain online in the total duration of today’s call when we begin conducting a question and answer session.  Instruction on how to participate will be given at that time.  And now for opening remarks and introductions, I would like to turn the conference over to Tonya Chin, please go ahead.
Tonya Chin: Good Afternoon and thanks for joining us today.  With me today are Elias Antoun, President and Chief Executive Officer and Micheal Healy Chief Financial Officer.  Today’s discussion contains forward-looking statements including without limitations forward-looking statements regarding the company’s revenue, gross margins, operating expenses and unit shipments.  The forward-looking statements are subject to risks and uncertainties that could cause actual results will differ materially from those projected.  Those risks and uncertainties include the company’s ability to gain design wins and ramp into production volume, growth rate of the flat panel TV and LCD monitor market, seasonal consumers demand for flat panel TV’s and LCD monitors.  Rate of customer transition to the company’s new single chip solutions from legacy dual chip solutions, competitive pricing pressures, availability and pricing of panel’s and other display components, customer inventory levels and foreign exchange fluctuations, tax credits and other factors that affect tax rates.  Other risk factors are listed in today’s press release and the company’s SEC’s report including but not limited to the company’s quarterly report on Form 10-Q for the quarter ended September 30th 2005 and it’s annual report on form 10-KA for the fiscal year ended March 31st 2005. The forward-looking statements made today are the company’s target and not projections for the actual performance.  In the past, the company’s performance has deviated from its targets as of the beginning of the quarter.  Participants are cautioned not to place undue reliance on these forward looking-statements, which speaks only as of today’s date.  The company does not undertake to publicly update or revise these forward looking statements even if it experienced or future change make it clear that any projected results expressed on slide during in this discussion will not be realized.  Any statements made by persons outside the company, speculating on the progress of the quarter or other aspects of the company’s business will not be based on internal company information and should be assessed accordingly by investors. During the call, the company will refer to both GAAP and non-GAAP financial information.  The reconciliation of GAAP and non-GAAP results in accordance with the SEC’s regulation G is included in today’s press release which has been posted on our company’s website.  Please note that today’s broadcast as well as an archived version of the broadcast are available on the company’s website at www.gnss.com in the investor events in webcast section.  Additionally, a replay of this conference call will be available through January 25th 2006 by dialing 719-457-0820 and replay access code is 4051745.  And now I would like to return the call over to Ellie.
Elias Antoun: Thank you Tonya.  Good Afternoon everyone and Thank you for joining us today for fiscal year 2006 Third Quarter Conference Call.  I will begin my remarks today by recapping the quarter’s highlights. I will also review some of the company’s major accomplishment’s during the quarter.  Then I will turn it over to Mike to cover the company’s financial results and guidance in more detail.  I will then close with an overall summary.  Our fiscal third quarter revenues were $74 million, this represents a 1% decrease from revenues of $74.9 million in the September quarter.  And a 53% increase over the prior year fiscal third-quarter.  This revenue was slightly below the midpoint of our guidance primarily due to lower shipments of LCD monitor units to our largest end customer.  I will elaborate on this and other factors a little later. Gross margin’s increase for the third quarter to 48.9% from 46.5% in the prior quarter.  This improvement was substantially the result of a further decrease in our product cost during the quarter.  GAAP operating expenses were $26.7 million representing a slight increase from the prior quarter.  The increase in the operating expenses reflects our growing investments in Digital TV product development and in our customer support organization.  Finally, on a GAAP basis, our earnings were $7.4 million or $0.20 per diluted share down from $9.3 billion or $0.25 per diluted share in the prior quarter.  This drop is largely due to a higher effective tax rate in the December quarter. On a non-GAAP basis, earnings were $10.2 million or $0.27 per fully diluted share compared to $11.8 million or $0.31 per diluted share in September quarter.  Now, let me address the company’s performance in both our key markets.  In the TV controller market, revenue’s grew 4% sequentially to $44.4 million, our TV controllers contributed 60% of the revenue this quarter, up from 57% in the previous quarter.  Unit shipments of flat panel TV controllers grew 5% to 4.5 million units during the quarter.  This modest growth in units was inline with our expectations, especially following the significance surge in our unit shipments during the September quarter. In addition, the moderate growth in unit shipments was slightly impacted by the beginning of an anticipated transition away from shipping a two chip solutions mainly Malibu and FLI2300 into many of our flat panel TV design wins to shipping the single chip Cortez.  The successful ramp of Cortez is our second wave of customers, particularly in China will accelerate this transition going forward.  This effect which will continue into March quarter, will exert some pressure on unit growth in this market.  In the LCD monitor controller market, revenues were $29.6 million, which represent a decrease of 8% from the September quarter.  This decrease was due to a couple of factors, first, while unit volumes grew 2%, this was lower than our expected growth of 5% for the quarter.  This was a result of the measurable decrease in shipments to key Taiwanese ODMs who are supplying our largest end customer.  This decrease in unit shipments was partially offset by market share gains of other customs. Second, the average selling prices in the LCD monitor controller market declined 11% during the quarter primarily due to the shift in our product mix.  As anticipated in our product road map mainstream LCD monitors are transitioning rapidly to the Phoenix family and the multifunction monitors are transitioning to Oak.  Phoenix and Oak both continue to grow as a percentage of our total LCD monitor units.  In fact Phoenix units increased nearly 100% quarter-over-quarter.  The impact of Phoenix is relevant to the transition away from the higher priced GM5321 in mainstream monitors.  While Oak is replacing Malibu in multifunction monitors.  Going forward, we expect LCD monitor unit volumes to stabilize in the March quarter, when we anticipate that the product transitions will continue to put pressure on average selling prices.  We expect that this product mix shift will largely be completed by the end of our current fiscal fourth quarter. Now let me highlight some key developments in the area of products and technology.  Earlier this month, we attended the CES show in Las Vegas.  We were very pleased to host approximately 400 visitors in our technology suites to view our latest products and next generation technologies.  The response from our customers was overwhelmingly positive.  In advance of the conference, we announced four new products that we demonstrated at the show.  These product’s have already been designed in by early access tier one customers and have also in some cases ramped into production. I will take a few minutes to quickly discuss each product.  First, we recently announced Cortez Plus, the newest edition of the Cortez family.  The FLI8548 is a single chip LCD TV controller which supports 10 ADP displays, 10 bit capture, Picture-In-Picture functionality and have integrated HDMI input.  In addition, we now announced our entry into the LCD panel timing controller market with the introduction of our GM7746.  This product is targeted at providing enhanced image quality for panels upto WUXGA resolution and full HD with a 10 bit processing pipeline.  The GM7746 allows us to sell directly to panel manufacturers and opens up a new revenue stream for Genesis.  This product is central to the company’s strategy of offering solutions that enhance image quality end-to-end in the TV system. We also introduced the newest member of the Oak family of controllers, the FLI5962 which offers DCDI by Faroudja video processing for multifunction LCD monitors as well as LCD TV’s.  The FLI5962 also incorporates ACM-3D our latest advanced color management technology.  The FLI5962 is ready for production and has already been designed in at several major customers.  And finally we introduced the newest product in our Phoenix family, the GM5766 controller.  It is a low cost memoryless solution targeted for mainstream SXGA and performance LCD monitors up to UXGA.  It also integrates ACM-3D color management technology. We expect the GM5766 to play a key role in expanding the company’s market share in LCD monitors.  We also demonstrated at CES the complete Genesis digital TV solution for North American and European markets.  The demonstration highlighted the full range of benefits in enhancement image quality for both digital and analog signals that are derived from pairing Cortez and PurVIEW together.  These platforms are targeted to be ready for production on schedule in the second half of calendar 2006. Additionally at CES we demonstrated display port, the new digital display interface being finalized by the VESA organization.  The proposed standard is currently under the VESA general membership review, which is expected to be concluded this month.  We believe that VESA is on track for issuing display port as an official standard in March.  Development of the related content protection system is on schedule.  At Genesis we plan to release our first display port enabled component in the middle of the year and to follow up with a broad range of ICs for PC and consumer applications. Now let me highlight a few of the designs that we announce during the quarter.  Hisense the largest LCD TV OEM in China and one of its largest TV OEMs chose Cortez and Hudson controllers for their new 32, 37 and 43 inch LCD platforms available in China’s domestic market.  In addition they are using our FLI8120 and FLI2300 controllers in their new 29, 32 and 34 inch CRT TV platforms. Additionally Westinghouse selected Genesis as its primary supplier of video processing controllers in its 27 and 32 inch LCD TV’s, as well as their 37 and 42 inch ADP video monitors.  Westinghouse, which has become one of Genesis key customers, continues to successfully grow it’s LCD and TV market share worldwide. TPV the world largest flat panel integrator selected our Cortez controllers for use in several of its new high definition LCD TV platforms, which it designs and manufactures for both popular TV and leading PC companies.  These new TV’s range is in size from 23to 40 inches and supports both NTSC and PAL formats on a single platform for use in multiple regions worldwide.  And finally Skyworth, China’s third largest TV manufacturer designed Cortez into its new high definition 32 and 37 inch LCD TV models which are now available in their domestic market.  In addition Skyworth also designed our Hudson controllers into its high volume 15 and 20 inch entry levels LCD TVs currently available in Europe, Hong Kong, Indonesia and Australia. Finally let me address our revenue guidance for our fiscal fourth quarter.  We anticipate revenues to be in the range of $62 to $67 million based on the following factors.  In the TV controller market industry data forecast that the flat panel TV market is expected to decrease in units by close to 20% from the December quarter.  In addition the digital CRT market in China will also experience it’s normal seasonal decline.  Finally our customer’s transition to Cortez from Malibu Plus FLI2300 will also contribute to the lower guidance on our revenue and units in the TV controller market.  In the LCD monitor market we expect that the continuing product migration from our mature higher ASP products and the seasonal decline in worldwide monitor shipments will have an impact on revenue.  I am confident that these market and product trends are temporary and I reiterate that our design wins portfolio and customer penetration will allow us to resume our growth in the following quarter.  With that I will turn the call over to Mike to review the financial details for the quarter.
Michael Healy: Thanks Ellie. Before I begin I want to reiterate the comments made regarding the split of revenue units and ASPs between our LCD monitors and TV controllers product lines that we discussed during the call and in our press release, are our best assessments based on our customers input during the ordering process.  Just to be clear we continue report all controllers use in multifunction monitors as part of our LCD monitor business. Now I’ll discuss our financing and operating results from the September quarter.  Total revenues for the quarter was $74 million, a decrease of approximately $900 thousand or 1% from the prior quarter and a $25.7 million increase over the last year.  The revenue is divided between our two primary markets as follows.  Total LCD monitor controller revenues were $29.6 million, down 8% from the prior quarter.  Total TV revenues grew by $1.8 million or 4% to $44.4 million.  Our TV business now represents 60% of our total revenue. Now let me turn to unit.  Several TV controller shipped in the quarter were 5.1 million units of which our flat panel TV controllers shipments were 4.5 million units.  This reflects a 5% growth in our flat panel TV shipments from our prior quarter and was consistent with our expectation.  We continue to see excellent growth from all of our new products as the Cortez, Hudson and Oak families, all showed significant quarter over quarter growth.  In terms of unit growth Oak grew over a 100% and Hudson and Cortez grew at close to the same rate as the overall flat panel TV market in the December quarter.  The Oak unit ramp in TV was primarily due to the Samsung LCD and Plasma TV design wins moving in for action.  Once again we saw excellent growth in our other TV category, which is mostly comprised of the digital CRT TV marketing in China.  We shipped over 600 thousand units, an increase of 20% of the prior quarter.  We continued to make excellent progress with several top Chinese TV manufactures in the quarter, this product line continues to become a larger piece of our overall TV revenue.  In terms of ASPs we saw some declines in the digital CRT TV space, which was mostly offset by a 1% increase in the flat panel TV ASP. Now I will cover the details of our LCD monitor business. We shipped a record of 11.7 million LCD controllers monitors during the quarter up from a 11.4 million units in the second quarter.  Our unit increase of 2% was slightly less than we anticipated primarily due to softness with some of our ODMs in Taiwan that supply our largest end customers.  The impact of that one ODM customer did reduce our monitor unit and revenue during the quarter, but we were able to offset some of that impact with increase from other LCD monitor customers.  As we expected ASPs in the LCD monitor product line declined us by approximately 11% with most of that decrease about 9% coming from shift in our product mix.  As been the case for several quarters our part for part ASP decline was a minimal 2%. Our Phoenix family continued to ramp nicely.  And we expect it to continue to grow as we gained new designs with the controllers from the Phoenix family.  There are really two product transitions occurring in the LCD monitors space simultaneously that are effecting our ASPs in the monitor product line. The first is the ramp up of our Oak multifunction monitors controllers in place of older Malibu products, which have a significantly higher ASP.  The second is our customer’s transition from our older higher price 5200 and 5300 series to the Phoenix family.  Again the story here is ASP, where we are transitioning from older significantly higher price parts to the Phoenix family, which are generally under $2.  This transition really took place in the December quarter as Dell and other customers adopted Phoenix into their current monitor model.  This transition is inline with the company’s strategy to maintain its leadership position by delivering cost competitive high performance product. Another item of significant dimension that will affect our revenue going forward is that one of our largest South Korean customers has decided to stop manufacturing LCD monitors for their OEM customers and instead will focus on producing monitors only under their own brand name.  The impact of this reduction will be mostly felt in our March quarter and factored into our guidance Gross margins improved to approximately 49% up from 46.5% in the September quarter and slightly above our guided range of 46 to 48%.  The increase was mostly related to sale of inventory with lower wafer cost.  The improved product cost together with minimal ASP degradation on a part for part basis in both TVs and LCD monitors enabled us to expand our gross margins in the December quarter. GAAP based operating expenses were $26.7 million within our guidance of $26 to $27.5 million.  This includes an aggregate of $23.7 million of R&D and SG&A expenses.  And $3 million for the amortization of intangible in stock based compensation.  As planned the modest in growth and operating expense in the quarter was the result of concentrated hiring efforts to augment our customer support and digital TV organization. We increased our headcount during the quarter by slightly more than 30 employees. Incomes from operations on a GAAP and non-GAAP basis has steadily grown over the last year as we continued to leverage our operating model.  Non-GAAP income from operations was $12.5 million in the December quarter or 16.9% of revenue which a significant improvement from our 1.2% ratio in the December 2004 quarter.  On a GAAP basis the provision for income taxes was $3.6 million during the quarter, reflecting an effective tax rate of 33%.  Last quarter’s GAAP tax rate of 10% was significantly lower than our expected GAP tax rate primarily because it was favorable impact of the increased value of the Canadian Dollar tax attributes in the September quarter which did not re-occur in the December quarter. We posted GAAP net income for the quarter of $7.4 million or $0.20 per diluted share, down from $9.3 million or $0.25 in the prior quarter.  The decrease in the net income in EPS quarter over quarter was in entirely related to higher tax rate this quarter.  Our non-GAAP net income was $10.2 million or $0.27 for diluted share compared to last year’s net income of $3.2 million or $0.09 per share. Next let me comment on a few balance sheet items.  Cash and short term investments increased significantly to a $175.2 million primarily reflecting cash generated from operating activities during the quarter.  Trade accounts receivables decrease $2.7 million to $37.2 million on an relatively flat revenue while DSO improved by 4 days to 46 days.  As expected we managed the inventory to keep system although estimates of current and future revenue.  As a result the inventory decreased by $6.2 million to $23.2 million or 21% from the $29.4 million at the end of last quarter.  This represents approximately 8 weeks of inventory on hand. Next let me give you an update on our employee equity compensation plan.  During the quarter we began issuing restricted stock units along with a number of stock option.  The combined amount of shares granted under this new program was significantly less in what we have traditionally issued under our parts stock option plan.  As you know the accounting for stock options expense under FAS 123R goes into effect for us in June 2006 quarter. The expense impact of FAS 123R is subject to a number of assumptions in variables like forfeiture and the stock price at the time of grant.  Therefore it is difficult to give you an exact estimate of the expense impact on our June 2006 GAAP earning.  Please refer to our 10-Q SEC filings from the September 2005 quarter, which should give you a starting point for the expense impact of FAS 123R. Now let me move to our guidance for the fourth quarter.  We estimate revenues will be in the range of $62 to $67 million.  We expect the unit shipment for the LCD monitor controllers to be relatively flat in a market that displaces the estimates to decline about 2%.  Due to product transition discussed earlier in both the multifunction and mainstream LCD monitor line, we expect LCD monitor ASPs to decrease 10 to 15%.  In the March quarter we expect our total TV units will decrease slightly, of that flat panel TV units and ASPs are expected to decrease slightly as our customers shift from a two chip to one chip solution.  In the digital CRT area we expect to see a more pronounced unit decline of 20 to 25% due to seasonality in the China digital CRT TV market, just like we experienced last year. We expect gross margins to range between 46 to 48% mainly as a result of lower revenues and some ASP decline.  Total GAAP based operating expenses are expected to be between $26.5 and $28 million with approximately $2 million expected for the amortization of intangibles and stock based compensation expenses.  As noted in our guidance on the press release the amortization of intangibles is dropping by $1 million in the March quarter as most of our intangible assets acquired through our SAF-T (ph) acquisition are coming to the end of this four-year amortization period. After backing out that decline you will notice we are expecting an increase in non-GAAP operating expenses ranging from approximately $1 to $2 million from Q3 level.  The increase in operating expenses is due to a number factors including increased labor cost due to the expected hiring of additional customer support and engineering resources, the acquisition of licensed technology and cost associated with our year-end audit and Sarbanes-Oxley certification. We feel it’s important to add additional headcount resources now in order to support our new product roll out, accelerate the product development around our digital TV technology and to continue provide our customers with excellent customer support, especially if they begin to move into digital area.  Now let me turn the call back Ellie for closing comments.
Elias Antoun: In summary this quarter we delivered on our revenue and earnings despite the well known softness in the LCD monitor market.  We have outlined the factors that will be resolved and lower revenues in our fiscal fourth quarter, but we are on track with our strategy.  Our new products are rolling out on time, with tier one customer design wins committed in advance of volume production.  The flat panel TV controller market is anticipated to grow more than 60% in unit shipments to calendar 2006.  And the LCD monitor market is also expected to grow a healthy 21%.  I’m confident that we have product portfolio, customer penetration and talented and motivated employee base to resume strong growth beyond the March quarter.  With that I’ll turn it over to the operator for questions.
Operator: Operator Instructions And we will take our first question from Daniel Gelbtuch with CIBC World Markets
Daniel Gelbtuch: I was wondering, you mentioned about the multifunction monitor market, it seems like you have, some nice traction there, I was wondering if you guys could size it for me, what your expectations for the overall market is in this year for multifunction and may be in ’07.  And just give me an idea how you see your customer’s positioning it in the channels, is it going to be a IT Channel, or is it going to be a PC Channel, or is it going to be a (indiscernible) as we can going to see these products in?
Elias Antoun: In terms of the size of the multifunction monitor market from a unit perspective compared to the total to total monitor market that is somewhere in the 4% to 6 % range or to 7% range, it varies by quarters to some quarters it is on the higher end and some quarters it is a bit lower than that.  And we have a pretty good market share in that area particularly because the largest end customer in the United State that’s a significant market for them.  Positioning is varying, part of the caveat as Mike puts in his comments is that, some - today we put all the multifunction monitors that we know of in the monitor market but we are seeing with customers design wins, if they calling multifunction monitors are coming close to TV’s and TV’s that are really coming close to multifunction monitors, it is varying by customer, it is really hard to well first - speak about this specific strategy that each customer has but it is clear to us sometimes that the customers we have are in the IT business and to position them as monitors, the customers that we have with them who are in the TV business, tend to position them as TV’s without Tuners.  And I don’t know that’s going to change very much as we go forward.  In terms of the growth of the market itself we certainly hope and expect that share of the bulk of monitor markets will grow but I don’t think we expect to become 20%, even in 2007.  Certainly growing from 4 % to7% of the total market may be up to 7%, 8% or 9% in the later part of this year but at this point it’s conjecture.
Daniel Gelbtuch: Okay and just to shift gears little, you mentioned that, you saw, one of your biggest customers I guess already, or is your biggest end market customer in flat panel, they had significant weakness in the December quarter.  Now what do you suspect happened there and what should we expect on going forward from this particular customer?
Elias Antoun: Yeah, so to clarify that the customer is in the LCD monitor market, it’s not in the TV side of our business.  So it is on the monitor side, it’s our largest OEM customer and what we are suspecting is going on there are, partly gyrations in the overall PC business, partly the segmentation between Desktops and Notebooks and partly, may be our some - our customers expected a significant growth in their position during a certain quarter that did not pan out and as we saw the effects of that.  Other than that honestly, we cannot comment because they haven’t commented themselves, so we kind of leave them clarify beyond that.
Daniel Gelbtuch: So - do you, assuming that, you have stated that you are going to have flat unit number for the March quarter, are we to assume that, there was an inventory situation in the channel and that’s over at this point or do you think that there is still some risk of inventory not clearing?
Micheal Healy: Yeah, certainly, I think, it is Mike, there is still some inventory in the channel, visibility that is not easy to get at sometime, certainly that is the one factor backed into our guidance so that, I think that doesn’t influence next quarters numbers.
Daniel Gelbtuch: Okay, just the last question here, I just wanted to know, obviously you are seeing nice measure of success in China with Hisense or Skyworth etc., who do you believe you are up against and who do you think displacing there?
Elias Antoun: So, in China actually, you don’t mind me reiterating, our measure of success is actually with all of the top 6 manufactures there.  This current quarter, we announced inline with Skyworth, Hisense.  We feel pretty good about our position in that market both in the flat panel side as well in the digital CRT across the board.  From that perspective in China our typical competition remains, our traditional competitors, Pixelworks and Trident and it seems like we are doing pretty well from that perspective.
Daniel Gelbtuch: Okay, thank you very much. Operator:  And we move on to Tore Svanberg with Piper Geffrey.
Heidi: Hi  this is Heidi (ph) calling in for Tore Svanberg.
Heidi: Just want to get a little bit color on your guidance for March.  When you talked about the product mix shift in the TV controller revenue, can you give us a sense of, what is the relative contribution among Cortez, Oak, Malibu and Hudson and how that mix might trend through the year?
Micheal Healy: Yeah, Heidi, all the new products are doing extremely well, as we said this quarter Cortez and Hudson grew close to the market, which was 40%.  Oak and TVs is doing well with Samsung, all the new products will continue to grow, we don’t give specific percentages of revenue contribution but we are really pleased with the progress that they are all making in penetration, they have gone beyond, kind of, first tier customers into Taiwan, into China, into Europe, different places, so the penetration is really good.
Heidi: How we should we?
Elias Antoun: Heidi, that we expect Oak, Phoenix, Hudson, Cortez by the end of fiscal year ‘06 which were coming upon to contribute more than 40% to our revenue and we are well on track with that.
Heidi: Great, regarding your gross margin, this quarter expansion seems to have mostly due to cost control, how much more room to we have, in terms of gross margin expansion from that, again to speak or, most of the expansion to come from mix shift going forward?
Micheal Healy: Yeah we announced with our guidance, we are guiding down a little bit from our current-
Heidi: On the more, looking at calendar ’06?
Micheal Healy: Yeah, I mean wafer cost certainly influenced gross margin significantly, that was influence us over the last couple of quarters so as we continue to get better pricing there, that will have influence, ASPs are obviously have an influence as well as the shift.  But I say wafer cost will probably use can influence that number more than the other two.
Elias Antoun: Although for the rest of 2006, we believe that, it’s safe to model that improvements in wafer cost will be modulated by ASP as we go forward because we are heading into the period now with the market that you have to compete on ASPs also.  So I think where we are guiding now is a reasonable place to be for now.
Heidi: Okay, lastly regarding operating expense guidance, I think, there is a little bit of jump that you mentioned because of the customer support increase, is that mostly in R&D and should we also look at that as a good range for the rest of ’06 in terms of the percentage of sales?
Micheal Healy: Let me, clearly in our fourth quarter we have some, onetime event relate to year end cost, they want to repeat themselves before we are in head count and in other technology and the head count is really been in a kind of a customer support areas in Asia and engineering resources, application engineers and product development engineers to support a lot of product and in the digital TV space.
Heidi: Okay and in terms of your inventory comedown back to a more of a normal level at a less cost, did you give us a sense of what’s the mix between TV controllers and monitor controllers are in the inventory mix?
Micheal Healy: Typically dollar impact is close to our revenue mix, units are obviously more heavily weighted towards monitors than TVs, I don’t have the exact numbers here for you but I think, that’s pretty close.  We have as always we try to manage that inventory to 8-10 weeks, it’s a kind of our targeted ranges, so it’s been there for the last two quarter.
Heidi: Okay great, thank you.
Operator: And we will move next to Jennifer West from Merrill Lynch.
Jennifer West: I had another quick question, a follow up on the TV product transition, is that often supposed to be completed the transition to Cortez in the March quarter?
Micheal Healy: No that, based on what we have seen right now Jennifer that transaction will probably continue over two to three quarters it’s got of course the contribution at each quarter will get slightly smaller but, and also by the way I like modulate that with sometimes these transitions are faster than we anticipate and slower than we anticipate particularly with this one because it spread over quite a few customers and customer programs sometimes move at a certain pace that are as a bit different what we have forecasted but in general we expect that this would last 2 to 3 quarters.
Jennifer West: Okay. And then you talked a little bit about PurVIEW and how that is still on track, is there any more details, update that you can give, any feedback from customers or any traction that you are seeing?
Micheal Healy: We are seeing tremendous traction of interest particularly after CES and the demo that we showed with PurVIEW working with Cortez and the image enhancement that’s possible from the paring of these two chips plus the fact that we showed that on one form factor board that actually go to production in the near future so that kind of interest is ramped up significantly since CES.  We have a design win that we will be able to share with the world probably in the not too distant future but other than that we cannot elaborate other than to say we are on schedule to go to production, derive some revenue by the later part of this calendar year and go forward.
Jennifer West: Okay that’s great and then when you look at the TV and monitor forecast for calendar year ‘06 how do you see your product mix between two business shifting in the last year you went from monitors accounting for about 50% of sales down to about 40%, do you see that trend continuing could it be monitors accounting for 30% or even less by the end of this calendar year?
Elias Antoun: I mean, I think generally the trend will continue I cannot at this moment blending our planning’s for fiscal year ’07, I cannot tell you whether it will goes as low as 30% or not.  We do have a both desire and plans to increase our market share in monitors and go after it aggressively so it represents a growth opportunity for us but generally the trend will continue.
Jennifer West: All right thank you.
Operator: And we will move next to Michael Bertz with WR Hambrecht & Co.
Michael Bertz: I just have a couple of questions than the likely target coming out, but in terms of gross margins I know you talked about wafer cost being the primary driver there but obviously the mix overall tilted more towards the TV and also I think we have seen some continued product transitions towards some better gross margin products into Phoenix monitors etc., if you were to handicap that like maybe you know 30% from wafer cost and 15% for the other two, would that be fair assessment or how do you think about them in terms of being component for gross margin increase and other things?
Micheal Healy: September to December?  Yeah, I would say the majority as wafer cost, we did do a good job and there is going to be lower wafers as we built up and all of those flush through cost of sales this quarter that mix certainly helps us but the mix within each product line may or may not make that much difference so I would probably say 80% wafers that you at least in terms of what drove the gross margin.
Michael Bertz: Okay, fair enough and then I guess talked about looking forward basically gross margin in whatever improvements in wafer cost, basically stemming the time for ASP, should we think about it anymore again towards tilting towards TVs being benefit to you, in this last quarter obviously that 46, 48 gave us a little bit conservative and would you characterize 44, 46 is a little bit conservative or pretty much right on target.
Elias Antoun: Just to answer the second part I don’t think we have any conservative guidance in their particular with regards to gross margin its really hard to put concrete numbers on the combination of mix and the trend right now, I think mix should help us benefit a little bit as we go forward particularly the fact that Oak is still ramping, couple of the new products are still ramping and of course yields get better as we ship much higher volumes in the future but still we anticipate that it will still be overwhelming modulated by the ASP that we are anticipating in the market.
Michael Bertz: Okay fair enough and then Michael, Opex that talked about rising here into the March quarter and obviously where it is in the components headcount and in your year end cost, really think about which component is that really is an yearend cost may be half of that 30% of that increase?
Micheal Healy: Yeah. I think I would say, kind of a one-time thing where you have $0.5 million to a $1 million of the increase.
Michael Bertz: Okay and then a last question here so in the inventory that was down sequentially and you talked about being in the 8-week sort of the lower end of your target range of 8 to 10 weeks and margining against future expectations, should we think about that as probably come down a little bit in the March quarter or should we think about any building ahead of ramps maybe in June and September?
Micheal Healy: It obviously it depends how we are looking towards June and beyond, our wafer ordering is still 8 to 12 weeks out, so we certainly got to lookout by the time March we are looking into June this past June into July at that time and it will be reflective of the business we seeing at that time and our customer forecast.
Michael Bertz: Okay, but no directional indicator?
Micheal Healy: Well, I think generally, as Ellie just said we expect June to show growth so following that thing you would expect inventory would be rising to support that growth absolutely.
Michael Bertz: Okay fair enough thanks guys.
Operator: And next we have Jason Pflaum with Thomas Weisel Partners.
Q -Jason Pflaum: Just trying to get a better gauge of some of your design momentum on the TV space, may be to that end can we talk generally about what portion of you design log or design backlog will enter production in Q1 and how that looks as you move the year?
Elias Antoun: Wow, that’s a tough question.  Jason we have so many customers that are moving into production almost every quarter now it’s really hard to answer X percent of design wins are going into production we have, let me just give you an example we announced Cortez in advance in very early October we have 12 design wins for it already.  We announced Cortez Plus just ten days ago we have three designs wins for it already and then we continue to win design wins for Cortez and Hudson for example in China market so its - all I can say is our design wins movements into production is at a pretty healthy pace should absolutely track the market it a lot of which is driven not can we get five up in January and five more up in February is driven by market windows that the customers determine they have to release product into the market on certain dates and we just have to follow those and that’s how we have to track.
Q -Jason Pflaum: Okay now I think in your commentary you mentioned some new wins were TPV I think you said you were in multiple platforms was that with one or multiple top Q1 customers?
Micheal Healy: TPV is a definitely one pretty major tier one customer plus their own business of ODMs, to other customers but its significantly driven by actually two fairly major customers one on the CE side and one on the on the IT side.
Q -Jason Pflaum: Okay and the timing of that CE customer is that contributes say in the first half year?
Elias Antoun: Yes.
Q -Jason Pflaum: Okay. Maybe you can just address briefly the opportunity that you see with the new timing controllers that you are launching I believe mid year, any meaningful revenue in the second half or was it just more of an ’07 story.
Elias Antoun: No. Revenue beginning the second half of this year, calendar ‘06.
Q -Jason Pflaum: Can you characterize that as meaningful, or -
Elias Antoun: Yes meaningful.
Q -Jason Pflaum: Okay. Thanks guys.
Operator: And we will move on to Craig Berger with Wedbush Morgan.
Craig Berger: Good afternoon, thanks for taking my question.  With respect to Opex growth beyond the March quarter, I guess one of the questions kind of hit me, trying to Starbox stuff back, what’s kind of your headcount growth plan as we move throughout the rest of the year?
Elias Antoun: Greg, our headcount growth plans are going to be driven primarily by design wins momentum and product development efforts to take DTV to the next level.  It is no secret that we need to move DTV solution very quickly to a single chip which is actually already in progress and it’s not a matter of IC design, it’s a matter of system level design at the firmware, the component combining, our analog TV and digital TV solutions into one.  And we expect fully to be successful in the market place, that means we need to ramp up our customer support for organization for digital TV in that area.  Those will be the two major drivers.  And going forward, looking a little bit beyond that we consistently said that our goal is to enhance image quality end-to-end in a TV which means we are working on technologies, not just on the video processing side but on the incoming signal, the demodulation of the signal and ultimately on the display side, all of these will require investments by us in order to continue to grow our opportunities inside the TV.
Craig Berger: With respect to the single chip digital TV, I know you guys said you are working on that, is that something that could drive revenues in the second half of this year or is that a 2007 story?
Elias Antoun: It’s a 2007, it is a calendar 2007 story.
Craig Berger: And what about PurVIEW?
Elias Antoun: PurVIEW again, we have consistently said we’ll be ready to go to production second half of this year.  We are pushing super hard to derive some revenues from it by the December quarter of this year, we do not expect them to be appreciable but it would be tremendous goal to achieve.
Craig Berger: Excellent.  With respect to the monitor market can you talk little bit about the competitive dynamics there, what’s going on with MStar, ITC shipments being stopped.  Are shipments being stopped at customs and can you extend any additional details you can provide?
Micheal Healy: Yes.  Well as you know MStar remains our most, our largest and most important competitor in that space.  Their product line in that are is called the TSU.  It is shipping into the United States, the reason it’s shipping into the United States because customs apparently believe that the TSU does not fall under the exclusion order.  We believe strongly that it does fall under the exclusion order, the pattern there is very strong, there remain several options available to us in that area and we continue to evaluate them.  Other than that as we also have said in the past we believe that the competition in that space is on product and technology and that’s what we do day to day internally in product development, in product bring up and customer design wins.  Everything that happens outside of that vis-à-vis the ITC is a factor that we work out separately but it does not effect our approach to the business.
Craig Berger: Okay and then just finally the monitor ASPs for March down to 10 to 15%, are you pretty high confident that the mix shift to Oak is going to be finished in the March quarter or can I extend it to June or beyond.
Elias Antoun: On the multifunction monitor side, also will be done in the March quarter, but you know will see some stragglers there.  The conversion to Phoenix have much faster because of the mainstream monitors, the ramp ups and the ramp downs are much faster, multifunction monitors are little bit slower than that.  But most of it will happen in the March quarter.
Craig Berger: Are you able to tell us what the ASPs for Oak and Phoenix today?
Micheal Healy: I think Phoenix, we said under $2 Oak I don’t believe we have disclosed.
Craig Berger: Thanks very much.
Operator: And we will take Quinn Bolton with Needham and Company.
Quinn Bolton: Hi thanks.  Just wanted to first follow up and then clarify it.  I think you said Oak, Hudson, Phoenix and Cortez would be 40% of revenues or is just Oak, Hudson and Cortez?
Elias Antoun: Oak, Hudson, Phoenix and Cortez.
Quinn Bolton: So all four new products?
Micheal Healy: All four new products that were launched at the beginning of the current fiscal year.
Quinn Bolton: And so that will be 40% of revenue by what time frame?
Micheal Healy: By the end of fiscal year 06.
Quinn Bolton: Okay so March.  Okay.  So following up on Craig’s question about competition in MStar’s specifically can you comment to whether you have seen them win any designs of your largest customer?
Micheal Healy: We can comment that we have not seen them win any designs of our largest customer.  And there is no indication of that happening as far as we can tell.
Quinn Bolton: Okay.  Next on the TV side it looks like your..-
Micheal Healy: I think by then I think you mean our largest end customer?
Quinn Bolton: Your largest OEM customer?
Micheal Healy: Yes right.
Quinn Bolton: Okay so moving on now into the TV space.  You know looks like you are starting to see FLI and Malibu products being replaced by Cortez so the units per TV are going down, just want to make sure that transition will happen over two to three quarters and then be mostly be wound up, sort of exciting calendar 06?
Micheal Healy: Yes, we believe that and that clearly we will keep be updating that but certainly by calendar ‘06 we expect that to be totally complete.
Quinn Bolton: Okay.  Obviously Cortez carries is a higher ASP can you talk about, I don’t think you have given in the guidance you gave any ASP guidance for the TV side of business, just wondering you’ve give this transition from two lower ASP chip to one single higher ASP chip, can you give us some comments on what you think the blended ASP will be doing over next few quarters in the TV business?
Micheal Healy: For the next quarter, I said we expected the flat panel TV ASP to be just down slightly so the mix will continue with this two to ones, beyond that we got to see how fast this transition happens between Malibu and 2300 Cortez and frankly every customer is different, there is longer design cycles, China maybe, it will move a little bit slower than Iran or Korea.  So it is really hard to peg how quickly that will move around.
Quinn Bolton: Okay guys, a follow question on that.  I mean your going for Malibu and the FLI products which are again lower price than say Cortez, I guess I am at loss to see how ASP trends down.   I mean is it not necessarily transferring to Cortez, maybe it is transferring to Hudson and that is part of the mix shift.  I don’t know if you can provide anymore light, shed anymore light on that?
Micheal Healy: Well, we are always certainly expecting some pricing pressure every quarter and that certainly will influence the ASP trend.
Elias Antoun: But the combination of Malibu plus FLI2300 is the transition to Cortez.  The Cortez ASP is higher than either Malibu or FLI2300 individually but the Cortez ASP is lower than the combination of Malibu plus FLI2300.
Quinn Bolton: You are right.  I mean if you go from two chips at lower ASP to one chip that should be a blended ASP increase right?
Micheal Healy: Right, correct. But there are other factors.
Quinn Bolton: There are other factors.  Okay right.  Just the last question.  Sounds like Phoenix will be most of the year going into the monitor business by the March quarter did I hear that right?
Elias Antoun: Yeah that will be the majority of the volume.
Quinn Bolton: Okay.  And you said that Phoenix is sort of a sub $2 price and Phoenix is quickly replacing the older 52, 53 family products.  Can you give us a sense of where the 52, 53 products family products were priced?
Micheal Healy: Yeah, in general they are much higher than the Phoenix product line.  We had to move that way with our customer or you wouldn’t have those designs wins moving forward.  So there is atleast 50% higher, the gross margin percentages are very comparable though.  I don’t feel we are loosing much, in terms of margin, that’s where the industry is moving.  So operator we have time for one more question.
Operator: And we’ll take our question from Brian Atwood with Pacific Growth Equity.
Brian Atwood: Hi guys.  Couple of things I want to clarify, you talked a little bit about a customer in Korea that has chosen to basically pull its manufacturing in-house.  Is that for the monitor market and were you loosing market share as a result of that or gaining?
Micheal Healy: So again to clarify as far as we can tell they are exiting the OEM business, which means that only monitors they are going to put out as we can tell are the ones that are branded in their name.  So what that does is they are building monitors for one of our largest OEM customers and also monitors for a couple of other customers.  The largest OEM customer that will stay with Genesis we expect that business to just transfer to another integrator who will build those monitors. But we expect that the other piece of their business that was not automatic, that was Genesis but not necessarily automatically going to be there anymore, we have factored that in as going away.  Although it’s not, we don’t know for sure.  But if you just look at that piece of it, yeah, you would see we lost market share but I think what I would like to focus on is that, eventhough our largest ODM lost market share in the December quarter, we regained some of that through other accounts, so if you look at it globally, eventhough we didn’t make totally for their, for the loss from them, we did make up substantially from other accounts.
Brian Atwood: Okay, I got to sticking on the monitor team here, there is obviously a lot of interesting map done over the several weeks, the past couple of months with regards to monitors, I just want to make sure that I am understanding the map for December as your guys are reporting it.  You said, unit volumes in monitors was actually up 2% not down some massive amount that came in about 11.7, is that correct?
Micheal Healy: Yes.
Brian Atwood: Okay and the ASP decline sequentially was a 11% but 9% of it you said it is attributable to the product mix, i.e. a shift towards Phoenix, is that also correct?
Micheal Healy: Yes.
Brian Atwood: Okay and as we go into next quarter, we are actually looking for flattish units but the product mix again affecting this ASP erosion?
Micheal Healy: Right.
Brian Atwood: What do we expect part-on-part ASP erosion to be?
Micheal Healy: Right now, it is 2% in last quarter, our expectations are similar to those, for the following quarters for the March quarter.
Brian Atwood: Okay and just again I am clarifying a bunch of points, as I am not going to get hammer with them tomorrow, Daniel has alluded a number of rumors stating that Mstar was taking shares from you guys that, you guys are having flat unit volume with the market forecasted to be down that to me implies that, you guys thinks going to actually gain share in monitors in Q1, is it fair to say?
Elias Antoun: That’s fair to say.
Brian Atwood: Okay, good.  And as we look going forward with taking into the account the transition appeared what March appears to be can you give us some expectation for what we can expect in kind of June, September, December timeframe given the backdrop of the industry which you described to be very robust.  And given the backdrop that you described on your design win activity, can you give us some parameters for what must be your growth forecast?
Elias Antoun: So Brian, we typically shy away from talking about following quarter and then multiple quarters out and lot of that has to do because of the nature of that business we are in.  I just want to say again, we are pretty comfortable from our design win portfolio and from our product portfolio.  We are quite comfortable in terms of the company’s prospect for growth in both of it’s markets both in terms of units and ultimately revenue.  So we will put out the right indicators at the right time for each one of those and move forward, we just, we feel pretty good about the company’s position in the market place but we are not able to forecast that far out.
Brian Atwood: As I said, you are leaving it up to us.  Thanks a lot guys.
Operator: And that concludes the question and answer session for today, I will turn the call back over to Ms. Chin for any final or additional remarks.
Tonya Chin: Thanks again for joining our call today.  As a reminder a replay of this conference call will be available through January 25th by dialing 719-457-0820 and replay access code is 4051745.  In addition to today’s earnings release is available on our website at www.gnss.com.  Also I would like to add that we will be attending the following upcoming conferences.  The Thomas Weisel 2006 Tech Conference on February 6th, The Deutsche Bank Small Capital Growth Conference on February 16th and the 2006 Display Industry Conference on March 15th.  This concludes today’s call, thanks very much for joining us.
Operator: And that does conclude our conference for today, we thank you for your participation.